Linda Hakkila: Hello all, and welcome to follow Konecranes' Q4 2025 Results Webcast. My name is Linda Hakkila, I'm the VP, Investor Relations here at Konecranes. And with me today, as our main speakers, we have our CEO, Marko Tulokas; and our CFO, Teo Ottola. Before we proceed, I would like to remind you about the disclaimer as we might be making forward-looking statements. As per usual, we will first start with presentations, both from our CEO and CFO. And after that, we will start the Q&A session. We are happy to answer your questions through the conference call lines. But now without any further comments, I would like to hand over to our CEO.
Marko Tulokas: Thank you, Linda, and good afternoon from cold, but very sunny Helsinki. I'd like to start with some general statements. It was a really very strong year for Konecranes, and I'm very, very proud of our team and very proud to be part of the Konecranes team, particularly in a year like 2025. Konecranes has a very sound business model. We've been executing our strategy. And that, of course, in this sort of environment has really improved -- shown that an improved resilience in our results. There was a very uncertain environment last year. We focused on executing our strategy and focused on the most important things. The year started on uncertain terms, but we acted fast and early, whether it's on pricing, focus on execution or tight cost control. Towards the second half of the year, the market environment stabilized and particularly in the delivery side, it was visible, and that helped us to finish the year strong. And now when we look at towards 2026, we have a good order book in place, the structure is solid and our strategy for 2026 has a very good road map in place. So I'm really confident for year 2026. So now let's look at how the year turned out and then also how the quarter 4 look like. Throughout the year, the demand environment stayed positive overall. There was a lot of positive development in many customer segments and Konecranes' broad presence in different customer sectors and geographies, of course, helped us in this sort of volatile environment. Our orders were very strong, particularly in Port Solutions and Industrial Equipment. So we grew almost 12% in 2025 in comparable terms compared to 2024. The demand on industrial service instead was quite a tough demand environment. But even in this environment, we were able to strengthen our agreement base. We took very good care of our pricing and also made sure that we adjusted our cost base to the prevailing conditions. We also took care of our margins and our cost structure, good execution in our project business, and we continue to roll out our products according to our strategy. And that, of course, meant that we were able to complete the year with almost 1 percentage point improvement in the comparable EBITA at 14%, record high level. Moving on to quarter 4. And in quarter 4, our orders were also very good. So we continue very solid order intake and also sales. But it's also noteworthy that both decreased against a very strong comparison quarter of -- quarter 4 of 2024. So orders were down 4% and net sales roughly flat in comparable terms. Quarter 4 in 2024 had a very strong order intake in Port Solutions, but also in Industrial Equipment, where both actually had the second highest quarter of all time in Konecranes. And that makes quarter 4 of '25 also very satisfactory for us. Our order book continued to strengthen, and it was 3 percentage points higher or 7 percentage points in comparable terms. Our profitability improved and increased to 14.1%. It was really very good project execution in Industrial Service, Industrial Equipment and in Port Solutions, Port Solutions with very good margins, but with slightly lower volume. And we kept our cost control intact and had a bit of pricing and tariff tailwind, but less than we had in quarter 3. And of course, the order book improved, and that means a solid start for 2026. Now if you look at the market environment in general, how is the best way to describe it? Maybe one way to say that the market and the customers have maybe used -- got used a little bit to the uncertainty. So there is a cautious positive development in the capacity utilization rates as it is visible in this Industrial Service and Equipment slide, which shows the capacity utilization rates in the 3 main market areas. And our own funnels and our customer demand, how we see it. European sales funnels are good on solid level. There are some signs of improvement. But of course, customers continue to be rather cautious around this type of volatile environment. In the United States, the previously very strong industrial equipment funnel has somewhat flattened down. But on the other hand, on the service side, we see some signs of improvement. So customers are starting to do the service that they may have put on hold temporarily during the kind of tariff-related uncertainty. It's, of course, too early to say how this actually pans out during this year, but we are optimistic in general about the market environment or continue to be so. And in Asia Pacific, the market continues and the funnel continue to be on a stable level, but the tough competition continues, particularly from the Chinese competition. And then if we take a look at the Port Solutions segment, here, the container throughput index, as we have discussed before, is, of course, the main indicator, and that continued to be on a very good level overall. Maybe there is some flattening in the growth rate, but it's still very positive. Our funnels continue to be good. There are big and small cases in the funnel. And of course, it's good to remember here that besides the obvious container throughput traffic indicator, there is the long-term prevailing trends in port solutions that are, of course, driving investments. So that comes from the automation trend, the prevailing consolidation trend in that industry, change in the traffic routes driven by the repatriation and changing manufacturing locations. So of course, we continue here to have a kind of positive general view on the market as we have had also last year. So reiterating again a bit more about the quarter 4 development against the strong comparison period and how the past 2 years have gone, as you see here, of course, the order intake in quarter 4 was slightly down from previous year quarter 4. But last year, the order intake was actually very good and better than previous year in the first 3 quarters. There was a decrease in quarter 4 in all business areas, some increase in Europe and some decrease in Americas and APAC. And actually, the same profile is true for the sales side of things. Next is time to look at the order book situation, and we have had a solid above 1 book-to-bill ratio throughout last year, and we've been strengthening our order book throughout the whole last year since quarter 4 of 2024. So we have a particularly strong order book situation in Port Solutions. It is positive in Industrial Equipment with also a positive mix, but it's also a bit down in Industrial Service. Now here, you see the profitability development over the last 2 years and again, comparing the quarters to each other. This is really a very strong progress and very strong execution to our strategy. There is increase in Industrial Service and Industrial Equipment in quarter 4, some decrease in Port Solutions. And like I stated earlier, that's mainly driven by the volume. So Port Solutions continued to have good margins and good execution. And they also had a very good quarter 4 last year. Some less tariff tailwind, but still some visible in quarter 4, really good cost management and slightly weaker mix in Port Solutions, but we are very happy with this 14.1% outcome to quarter 4 last year. And that, of course, really helped us to reach this almost a percentage point year-on-year full year improvement on profitability. Now then it's time to take a look at the -- how we track in our profit improvement progress or process. This is actually the third consecutive year in all 3 business areas where we consistently improve our profitability. All 3 business areas are well within their defined profitability -- midterm profitability ranges. And we've done this under rather challenging demand environment. But at the same time, of course, it is true to say that we have not really had a challenging downturn in terms of volumes. So as you will see here, there has been pressure on the volumes, and we've shown continuous good profitability improvement. And of course, with additional volumes, then this is -- we are confident that this continues to be a good story. And now I would like to hand over to Teo, and then I'll come back in after a few slides to talk about the demand outlook and a couple of other things.
Teo Ottola: Thank you, Marko. And let's take a look at some of the business area numbers in more detail. But before going there, as usually, so let's take a brief look at the comparable EBITA bridge between Q4 '24 and Q4 '25. So we had close to 1 percentage point improvement in the EBITA margin in a year-on-year comparison, and this translates into roughly EUR 5 million improvement in EBITA in euros. And let's unpack this now next a little bit. So pricing impact year-on-year was roughly 3% -- and then when we combine with that information, the fact that the sales decline -- there was a sales decline in comparable currencies. So we are actually taking a look at the underlying volume decline of some 4% or so, which obviously is not good from the profit and profitability point of view. However, net of inflation pricing, mix and then particularly good execution, so project execution, for instance, then we're all working in a positive manner. And as a result of that, the net of those -- all of those impacts is positive by EUR 13 million, as we can see as a combination of volume, pricing, mix and variable cost on the slide. And then fixed costs continued to be very well under control. So only EUR 2 million increase in fixed costs in a year-on-year comparison, whereas then the translation impact as a result of the FX differences was a clearly negative number, minus EUR 7 million. And as a result of all of these then combined, so we end up with the improvement of roughly EUR 5 million in a year-on-year comparison. Then moving on to the business areas, starting with Industrial Service. So we had order intake of EUR 380 million. So this is actually a decline in reported currencies, but an improvement of more than 2% in comparable currencies. So like already mentioned in connection to the bridge, so actually, the FX differences continue to play a big role now in the fourth quarter as well. Taking a look at the different parts of the businesses. So Field Service declined in the order intake in a year-on-year comparison, whereas Parts business cut up. And then when we take a look at the regions, so EMEA did well. So there was an increase, whereas then Asia Pacific and Americas both saw a decline in the order intake. Agreement base actually grew by 4.4%, like Marko already also mentioned. Order book decline of 7%. That's a big number. But in reality, that is almost all, let's say, everything actually is in relation to the currency changes. Net sales, 3.5% higher year-on-year in comparable currencies. The story is very similar to what it is in the order intake. So Parts did better than the Field Service and of the regions, EMEA did better than Asia Pacific and Americas. Comparable EBITA margin, 21.9% on a very good level, 1.3 percentage point improvement year-on-year. The improvement did not obviously come from the volume as the net sales increase is roughly in line with the pricing change. It actually more came from pricing, from good execution as well as then efficient cost management in general. Then moving on to the Industrial Equipment. So there, we have an order intake increase in comparable currencies of roughly 1%. However, when we take a look at the external orders, so this is down slightly by almost 1 percentage point against fairly tough comparables, fourth quarter of '24 was very good from the Industrial Equipment order intake point of view. Of the business units, we had growth in components in a year-on-year comparison. We had a decline in process cranes and standard cranes as well, a slight decline. One could maybe also say that this was flattish in a year-on-year comparison. And of the regions, again, EMEA did fairly well, so increase there, whereas then we had a decline or decrease in the Americas and APAC. In a sequential comparison and taking a look at the business units, so components orders actually rose also in a quarterly comparison, so the component orders in the fourth quarter were very good. We had a decline in port cranes as also in a year-on-year comparison and then standard cranes were fairly flat in a sequential comparison, similar to what it was in a year-on-year comparison as well. Here, our order book rose by 2% and of course, with comparable currencies, even more. Net sales up 3% roughly, taking a look at the total volume or then the external volumes, both roughly 3% up. The sales mix was such that it was a little bit more favorable from the margin point of view now in the fourth quarter of '25 than a year ago. And then when taking a look at the comparable EBITA margin, 11.7%, excellent improvement of more than 2 percentage points in a year-on-year comparison. Again, good execution, pricing and of course, also the already mentioned mix supported the profitability in the fourth quarter. And then Port Solutions order intake, EUR 406 million. This is a decline of roughly 11% in a year-on-year comparison, of course, against very tough comparables. So also here, the fourth quarter of '24 was very good from the order intake point of view. When we take a look at different businesses within Port Solutions, so Lift Trucks actually had good activity as well as RTGs, Port Service, quite flattish in a year-on-year comparison. And then when taking a look at sequentially, particularly the business units that are more short cyclical like Lift Trucks and Port Service. So Lift Trucks had an increase also in a sequential comparison, so Q4 was higher than Q3, and Port Service was relatively on the same level in fourth quarter as in third quarter. So flat exactly like in a year-on-year comparison as well. Net sales declined by as much as 7% in a year-on-year comparison. This was, of course, as a result of the order book timing and as such, as expected already earlier. Order book, however, is clearly higher than what it was a year ago, thanks to good order intake that has been there basically throughout the whole of '25. Comparable EBITA margin, 9.2%. So this is a decline of 0.5 percentage point. So this primarily obviously comes from the lower volume. So sales was lower than a year ago. Mix did not help here. So in ports, it was rather negative than positive in a year-on-year comparison, but this was partly offset by very good execution and project execution in the fourth quarter within the Ports business. Then a couple of comments on the balance sheet side. Let's start with the net working capital. As usual, net working capital has continued to be on a very low level. So there is no meaningful change from the third quarter. Obviously, the structure is a little bit different. Inventories have turned into accounts receivable, but otherwise, very much on the same level. The improvement in comparison to a situation a year ago comes from accounts receivable as well as advanced payments. And then on the right-hand side, we can see the free cash flow, which continues to be on a very good level, record levels actually also for '25 and the cash conversion continues to be clearly above 100%. Then consequently, of course, as a result of the cash flow, our balance sheet from the net debt point of view looks very strong or actually, we have net cash in the amount of more than EUR 160 million at the end of the year. And then finally, from the balance sheet point of view, so the return on capital employed on comparable terms, 22.1% at the end of '25. And then I will invite Marko back to talk about the outlook for '26.
Marko Tulokas: Thank you very much, Teo. There is the outlook for '26. But before that, some other additional things, of course, our solid progress, very nice development, strong cash flow and balance sheet has 2 outcomes. Our Board of Directors is proposing to the AGM a share split with 1:3 ratio. That is, of course, due to the high price and to enhance the liquidity of the shares. And we also have the Board proposing to the AGM that we increase our dividend from the previous year EUR 1.65 level to EUR 2.25 per share for [ 2025 ], which is very much in line with our stable to increasing dividend policy. And now to the demand outlook. Although there is a volatility, of course, in the marketplace, we expect several sectors to keep the demand up. And in the industrial customer segment, we expect the demand environment to remain on a healthy level. And for the port customers, the container throughput continues to be on a high level as we saw before. And there is, of course, these long-term prospects in that business in general, the long-term drivers and then is, of course, supporting a strong container handling demand in the future. So the outlook continues to be good. But at the same time, of course, it is good to keep in mind that this uncertainty related to geopolitical decisions, the trade politicians and the tensions, they do remain high. And of course, they may have positive and negative impact to our demand picture that may also come quite quickly. But generally speaking, we have a positive outlook on the margin. And then finally, let's look at our financial guidance. So we have a starting order book that is better as already was elaborated also by Teo and myself earlier. The demand outlook is stable. So we are confident that realistic picture on the demand environment, and we are conscious about the market uncertainty also. So we expect our net sales to remain approximately on the same level or to increase in 2026 compared to 2025. And as you saw, our margins have been developing very well in '25. And we expect these margins to remain approximately on the same level also in 2026 compared to 2025. And with that, I thank you all very much, and we can move to the questions and answers. Thank you.
Linda Hakkila: Thank you, Marko and Teo, for the presentation. And now we will start the Q&A session. Operator, we are ready to take questions.
Operator: [Operator Instructions] The next question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: I have 3 questions, if possible. First, I wanted to ask you to -- if you could give some color on how you see the mix in Port Solutions going forward. I know you mentioned here it was slightly disadvantageous. I don't know if it's just one-off this quarter or given the nature of equipment, maybe more larger equipment, is that something that will continue? And then I'll ask my other questions right after.
Teo Ottola: The ports mix going to next year, of course, it is approximately flat, the mixed or neutral, the impact as I see. And I guess that is also your conclusion also.
Marko Tulokas: That is actually my conclusion also. And I think that what you are referring to with the larger equipment. So of course, we have been talking about that, that potential mix might be weaker going forward in case the product -- let's say, the demand moves more towards the, let's say, heavier equipment. However, that has not happened to the extent that we would be expecting a deterioration in the mix for this year.
Daniela Costa: Got it. And then I guess we have seen in some regions quite a steep move on things like steel prices. Can you talk us through a little bit how we should think about that given the lag between orders and sales, the pricing that you're putting out at the moment? Do you expect that to be a headwind in the shorter term or not really you can pass it all to?
Teo Ottola: So your question was particularly about steel prices, right?
Daniela Costa: Yes.
Teo Ottola: So the steel prices throughout 2025, they have been approximately flat, and there's actually a slight positive or from our point of view, positive. So in that way that there is actually a somewhat lower quarter 1 steel price rates than there was in quarter 4 of 2025. The outlook is -- or the forecast is that there would be a minor increase in steel prices in 2026. But of course, only time will show that how will that materialize. Our approach has been and it continues to be so, as still is for many of our products, a reasonably significant cost component that we will pass on the steel cost in our prices, and that's how all our pricing systems and our configurators have been built. Finally, there is some regulatory developments in the market and the CBAM is one of them that, of course, eventually the CBAM regulation, although it is no direct impact to our products and so forth, that may drive steel costs up in the longer term, but that's not in the immediate visibility at the moment.
Daniela Costa: Got it. And then a final one, just in terms of like you have obviously very strong free cash flow. It looks like a decent size comes from the payables within working capital. Can you talk a little bit about sort of exactly what that is? And how should we think about payables going forward?
Teo Ottola: I'm not quite sure that what your question was. I mean, are you talking about capital allocation of our balance sheet in general?
Daniela Costa: Free cash flow.
Teo Ottola: Yes, of course, I mean if you're referring to the dividend policy only or to the question of other means of distributing the cash.
Daniela Costa: No. I'm just actually asking about free cash flow. Within your cash flow statement, there is a big positive of payables in the working capital. Yes.
Teo Ottola: Maybe commenting on net working capital as a whole. So now at the end of '25, we are on a very beneficial level. And we are clearly, let's say, we are several percentage points better than our, let's say, midterm target is, which is that we should be below 10% of rolling 12-month sales in net working capital. Now we are clearly below that. So the situation is very beneficial from the net working capital point of view. And if the question is that, is that something exceptional? Or will it stay here or will it even improve? So one could maybe say so that this is, let's say, maybe in the midterm perspective, this is on the better side of the average. So maybe the overall in a way, level on a long-term basis could be even a little bit higher for net working capital. But definitely so that we aim to be below the 10% threshold of the rolling 12-month sales. And then, of course, we will need to allow volatility in both directions as we are now seeing a very good situation. So it may be that in some quarters, we are seeing a little bit worse situation. So the payables, accruals and advanced payments, all of the combination of all of that is very important, but I would still stress the importance of the advanced payments. So this is a lot of customer project timing related, how the net working capital develops from one quarter to another one.
Operator: The next question comes from Antti Kansanen from SEB.
Antti Kansanen: It's Antti from SEB. A few questions from me as well. I'll start with the guidance of flat to growing sales and especially on the Port Solutions side, how much of the backlog that you currently have do you expect to convert to revenues during '26? Or if you don't want to give the number, how does that compare to situation a year ago?
Teo Ottola: We maybe not give the direct number for the first question, but if we take a look at the overall order book, now that we have at the end of '25 for '26 and compare that to how much order book we had 1 year ago for '25. So the difference is now more than EUR 100 million.
Marko Tulokas: For all [ 3PAs ].
Teo Ottola: For all 3PAs. And then, of course, it is fair to say that the ports business is a clear majority of that, particularly now that the FX differences are impacting so much to the order book of the service business. So that basically it is the same number or maybe even slightly more for ports than what it is on the group level. But this is, of course, with reported currencies. So if you take a look at comparable currencies, Marko showed both numbers. So then, of course, that number is higher. So it's about twice as high, not for ports, but for the group.
Antti Kansanen: Yes, sure. And I was also thinking on the guidance, if we talk about, let's say, on the lower end of it that your sales will be on the same level as in '25. Would that imply actually that volumes would be down, I don't know, clearly. But anyways, one would assume that there, you talked about the net price impact on Q4, one would assume that the positive pricing continues through '26. So how should we think about that volume pricing trend in the backlog?
Marko Tulokas: Of course, like we were saying earlier, the starting point is positive with a stronger order book. And of course, we have a stable funnel that we look with positive mind. So there is all the reason to be positive about the demand environment and the volumes also. But at the same time, there are some question marks. Teo mentioned one of them is, of course, is the currency rate. And of course, then the other one is related, of course, to the general development of the market environment overall. But what we are trying to say with our guidance that, of course, we have a good starting point for the year, and we look at the volume development positively. But being appropriately, let's say, cautious about it also in this environment.
Teo Ottola: But logically, of course, you are right. So I mean, if the sales were flat in a year-on-year comparison and the order book for this year is EUR 100 million more than what it was for last year, so of course, then it would mean that the in and out volume would be lower, which could be, let's say, depending on various things. But of course, now we need to remember that what we are saying regarding the overall market outlook is that the sales funnels in the various businesses. So they continue to be good. I don't know. They continue to be stable and on a good level.
Antti Kansanen: Yes, that's clear. Then the second question was on profitability. And maybe a reminder on the tariff-related pricing tailwinds that were kind of notable on previous quarter and still there on Q4. How should we think about kind of impacts of those going forward, maybe fading away? Any guidance on that?
Marko Tulokas: Well, they repeated also in quarter 4 after being visible in quarter 3 and quarter 2, but not to the same extent. So as we have also said before, the expectation is that they will go away or deteriorate over time. And of course, it actually continued throughout the whole year, and there was a positive sign to us. We expect that you will not see the similar kind of positive tailwind going forward. But also it should not have a significant negative impact to the margins either.
Antti Kansanen: Okay. That makes sense. And then the last question, and I guess, Marko, you almost started to answer on the capital allocation side. And I mean, obviously, there's a clear increase on the ordinary dividend. But I mean, balance sheet is getting stronger and stronger and capital allocation has been a bit of a discussion point. So any updates on further distribution, buybacks, anything like that?
Marko Tulokas: Yes, I was so eager to start answering that question already. So I was preempting that. But no, I mean, of course, that our approach has not changed there. Of course, we have several potential means for the use of that cash, and we are working on all of them. And one of the obvious one is the potential acquisitions. And as we've said before, that has been a big part of Konecranes' history, and it continues to be so in our future also the inorganic part of the growth. And so we have a funnel of different size of opportunities that we are actively exploring. And it's more a timing question that when we can realize those. And for that, for sure, we want to have maneuvering room and the increase in the dividend that was announced today, of course, that is, in our view, no way jeopardizing those -- that maneuvering room that we have going forward, given the available cash and then, of course, our ability to leverage the company. Would you like to add something to that?
Teo Ottola: No.
Operator: The next question comes from Mikael Doepel from Nordea.
Mikael Doepel: So a couple of them. I'll take them one by one. So if we can start to talk a bit about the net of inflation pricing. I think you mentioned it was positive still in Q4 of last year. How do you think about 2026? I mean if we put tariffs aside, how do you think about pricing net of inflation?
Marko Tulokas: Maybe since you are going through the bridge, you may want to continue on this also.
Teo Ottola: Yes. The basic commentary here is the same as it has been. So we believe that we will be able to push cost inflation into the customer prices. And then, of course, the tariffs may change, the currency rates may change. But if we take a look at the overall underlying inflation, so the idea is that we will be pushing that into the customer prices. And in the past years, we have been able to do that in some cases, maybe a little bit even more than the cost inflation. So we believe that we can balance the situation from that point of view, but maybe it is not a good idea to expect a continuous net of inflation price benefit in '26 or further.
Mikael Doepel: No, that makes sense. And talking about costs and just a follow-up, do you have any meaningful cost efficiency measures ongoing now that could support margins into this year? Anything tangible you could mention on that side?
Marko Tulokas: Maybe 2 things I will mention. First of all, the topic that we have discussed also in the past is the ongoing industrial equipment cost efficiency program that we earlier announced that will continue until end of 2025. And on that note, we can say that we are still continuing that and we expect that to continue to bring us some benefits also -- additional benefits also during this year. The second topic is -- or the second answer to that is that when it comes to adjusting our cost structure to the prevailing market conditions, that is what we did early last year also that in all accounts, whether it's the SG&A or cost that we have on the group level or, for example, in service, the costs that are directly related to customer projects. And that is business as usual for us and that we've done in 2025, and we continue to do the same in '26 if the market environment and demand so requires. But beyond those 2 things, we don't have anything specific to discuss about right now.
Mikael Doepel: Okay. That's clear. And just finally, I think you mentioned in your opening remarks, you talked about the industrial service business and saying it was a bit of a tough environment within that business. Can you talk a bit about what you see there specifically happening across the regions, across the customer segments and how you expect 2026 to develop?
Marko Tulokas: When we look at Industrial Service in general, if I start from just the market activity and how it looks, one thing that we've discussed earlier and we also can measure is how our remote connections also with what we call the TRUCONNECT product, how much activity the customer is having with our cranes business and then, of course, means that how much manufacturing or production activity there is and those productivity rates are down last year, the whole year, and they also ended with a negative sign that somewhere 6% to 7% compared to the previous year in terms of the general use of the cranes. That's a fairly good proxy or explanation also to how much -- how the productivity and service develops for those particular customers, and that has a correlation to how our service business is actually developing. So that tells more that there is in this sort of environment where the customers have uncertainty of which direction the world is going that they have the tendency to hold back on not urgent or not critical measures. They want to do the things that have to be done to make sure that the equipment is productive and safe. That was a phenomenon last year and had certain impact to the service business. But it is obvious that you cannot do that for a very long time. So those equipment has to be taken care of. So that is something that usually returns. The other positive aspect is that we kept on increasing our -- or improving our agreement base, which is essentially the growth engine for service and very important, so that grew more than 4%, 4.5% last year. And that is what we consider and I consider very important as a service core. And then finally, I would say to that, and sorry for the long answer, easy to get excited on the topic. On service side, there is a lot of positive demand drivers like there is in the ports demand side in the long term. And whether it is the demographic trend of having less people doing this sort of thing or the automation trend that's also prevailing in some of the segments there, the outsourcing that similarly to ports actually is prevalent in many of the industrial segments and many others that also in the long term are drivers for demand in Industrial Service as well as in the efficiency drivers too.
Teo Ottola: If I may add to a little bit additional color on...
Marko Tulokas: I thought I answered the whole thing already because...
Teo Ottola: That was very good, but I would maybe add one more thing. And I think when we have previously been saying that actually the differences between regions tend to be bigger than between customer segments in our demand. So now it may be that there start to be relatively big differences in demand pictures between different customer segments. And there are maybe a couple of indications of that one. And one of them is that the thing that we have been discussing also earlier that, for example, in North America or in the U.S., there has been a little bit slowness on the service and equipment business on the other hand, has been maybe even surprisingly strong, so which would, in a way, maybe indicate that some of the segments are doing well and they are buying equipment and some others have maybe a little bit more issues with the utilization and they are maybe saving on nonessential service. And also then this fact that our service spare parts are doing better than the Field Service may be an indication of the same thing. I mean, of course, the tariff thing, et cetera, can impact the spare part pricing and inflate that a little bit, but that doesn't explain the whole thing. So these kind of changes may be there happening a little bit because of defense and because of power and those kind of specifically, let's say, buoyant segments currently.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Linda Hakkila: Thank you, everyone, for following our webcast event today, and thank you for asking such a great questions. [Technical Difficulty]